Operator: Good afternoon. Thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO; Michael Morhardt, Forrester's Chief Sales Officer; and Mike Doyle, Forrester's Chief Financial Officer. George will open the call. Mike Morhardt will follow George to discuss sales. Mike Doyle will then follow Mike Morhardt to discuss our financials. We will then open the call for question and answers. A replay of this call will be available until May 30, 2014 and can be accessed by dialing 1888-843-7419 or internationally 1-630-652-3042. Please reference the pass code 9233923 followed by the pound sign. Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligations to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. I'll now hand the call over to George Colony.
George Colony: Good afternoon and welcome to Forrester's Q1 2014 conference call. In my segment of the call, I will give an update on the company's performance in the quarter. Following my remarks, Mike Morhardt, Forrester's Head of Sales, will talk about his ongoing efforts to increase the effectiveness of the sales force. Mike Doyle, Forrester's CFO will then give a financial review of the first quarter, and then following Mike's remarks, we will take questions. I am pleased to report that Forrester had strong bookings and revenue performance in the first quarter, driven by an increasingly engaged sales force, more highly focused content, and an improved product portfolio. Of the eight sales groups worldwide, seven achieved or exceeded their plan. Across geographies, product lines, roles, syndicated and non-syndicated, the company's top line exceeded plan, as signals of the changes we made in 2013 are beginning to yield results. In reviewing sales performance, I want to highlight strong results turned in by our European and North America West sales teams in the quarter. These two regions were challenged for the full year of 2013, but as the year progressed, their performance improved quarter-to-quarter. A recovering economy, especially in Europe is part of the story, the leadership and tactic changes and the way that we sell lowered attrition and increased productivity. Mike Morhardt joined Forrester to elevate the sales team to world class levels of achievement. We are now beginning to see the positive effects of his teams' strong leadership and operational strategy. We still believe that this is a work in progress, and there will certainly be bumps in the road, but I am optimistic that Mike's plan will continue to yield quarter-to-quarter progress, and Mike will give more color in a few moments. Forrester's new strategy, helping our clients in the era of powerful customers. It's contributing to our recovery, and I want to spend a few moments now, talking about how that strategy is unfolding. As a quick refresher, Forrester believes that the global economy is entering a 20-year business cycle, in which the most successful enterprises will reinvent themselves, to symptomatically understand and serve increasingly powerful customers. Technology is shifting away from institutions -- shifting power away from institutions, and this reality will place new and harsh demands on companies, governments, and other large institutions. In this era, Forrester is positioned to, number one, keep companies on pace with changes in their customers. Two, to arm marketing and strategy executives with the data analysis to win those customers; and three, help the technology management executives build the technologies, systems in process, to win, serve and retain customers. And if I give you shorthand, we are engaging with our clients around; one, customers; two, commerce; and three, technologies. These elements are symbiotic and are mutually dependent. It represents the crossroads of customer obsession, working in concert will yield the highest results for large companies, and that's an expertise that Forrester uniquely possesses. Here are a few examples of how our strategy is driving activity. This year, our forms are centered on helping companies win, retain and serve customers, and this has been an important factor in widening attendance in 2014. In Q1, core attendance grew by 10% for our form for sales enablement professionals, and 36% for our form for marketing leadership professionals. Sponsorship revenue also increased 26% and 11% respectively. We also got out to a fast start in Q2, with the form for marketing leaders in San Francisco, which saw a 16% jump in core attendance. On consultant capacity is sold out for customer centric roles like customer experience and application development and delivery, and demand is quickly growing for work related to e-business professionals and CMOs, two roles that are immersed in the challenges related to the newly powerful customers. As an example of this, a large U.S. financial services company recently signed on for a $500,000 consulting engagement, to transform their company-wide customer experience. This project will expand both marketing and technology roles at the client, a task that Forrester can distinctly and uniquely address. Now I will talk a little bit more about how the consulting product has improved in a moment. To accentuate our strategy, Forrester will launch a new book in Q2, the mobile mind shift. Using mobile, customers expect to get what they want in context and at the moment of need, and that's the theme of the new book. Companies must win [ph], what we call the mobile moment. That instant, when the customer turns their mobile device for a solution to their problem. The book carries a very blunt message, if you are available at that exact moment, with the right service, your customers will love and retain you. If you're not, you will lose their business. The book is based on 200 interviews with global companies and clients including Coca Cola, ING Group, GE, Nissan, Philips, Nestle and Jibun Bank of Tokyo. The book says that the stakes are high for companies. As USAA's Emerging Channels Executive Neff Hudson says in the book, and I'm going to quote him, 'Mobile is driving a fundamental business transformation for us. Mobile eliminates requirements in other channels. Mobile is our centerpiece.' It's where people start their experience; and when we back that experience with the world's best member services representatives, we hit a completely different level of effectiveness. Under our new strategy, Forrester is helping all of our clients reach that high level of effectiveness. Let me turn now to our progress building out our dedicated project consulting group. I am pleased to report that the effort remains on-track. Our goal is to increase the quality of consulting and the quality of research and customer satisfaction data for both is rising. Additionally, Forrester's sales force has a renewed confidence in our ability to deliver high quality consulting, and this has resulted in a higher bookings to the product. Hiring and consulting is at plan, and as I reported in the last call, we continue to be impressed with the high quality of candidates and hires for our open slots. When I asked Victoria Bough, the Head of Consulting, why we are attracting the best and the brightest; she said that several factors are at work. Number one; they are impressed with our sales force's ability to sell complex consulting engagements. Remember that in most practices, consultants must sell their own work. The presence of our sales force means that practitioners can focus on their analysis and on delivery. Number two; our consultants have access to Forrester's vast store of analysis and reports, and these are intellectual underpinnings, that get quickly repurposed for consulting projects. And finally, Forrester's extensive worldwide data, grounds consulting work and demographic brand, longitudinal and behavioral fact, sharpening our consulting deliverables, and increasing the precision of our consulting conclusions. The project consulting group is on track to have a full roster of 114 professionals by the end of 2014. Let's spend a few moments down on Forrester's technology for clients; and there is a very simple reason why we must create the best possible customer experience for our clients. The more clients use our research, the more likely they are to renew. By improving the ease of accepting our research, we can positively impact our business results. To this end, Forrester launched a new website in the third quarter of 2013, and since that launch, customer satisfaction scoring for our web site has been steadily increasing. Beyond the web site, many of our clients have requested that Forrester offer a mobile app. In an effort to continue to enhance our offerings, I am happy to announce that our first mobile application will launch on May 1st. This client-only app is already available on the iTunes store, and we are launching on the iOs platform first, because 72% of mobile business to our web site come from iPads. The iPad app shares complementary features of Forrester.com, including a common library of saved research and data. The application is designed to offer easy access and readership of our research. Our goal is to win the research mobile moment. Turing to capital structure; the company purchased approximately $30 million of its outstanding shares in the first quarter. Forrester share count has been reduced to just under $19 million. In addition, our Board has added $25 million to our repurchase program, giving us over $45 million of authority at the end of April. As you know, our goal is to operate with approximately $100 million on our balance sheet. Therefore, we expect it to continue to repurchase shares throughout the year. In summary, Forrester's performance is being positively impacted by the changes we have made over the last year and a half. While our recovery will take quarters to complete and there will continue to be setbacks and hurdles while on the way, we are encouraged with the results of the first quarter. Thank you very much; and I'd now like to turn the call over to Mike Morhardt, Forrester's Head of Sales. Mike?
Michael Morhardt: Thanks George. Q1 represented continued progress on our journey to world class sales. Many of the programs we put in place in 2013 and early in 2014 are showing positive results. We are encouraged by these results, but we also realize we have a lot of work to do. As George mentioned, in Q1, seven of the eight sales team hit their plan and achieved year-over-year growth. We saw significant improvements in our largest accounts, what we call our premier accounts. We saw gains in our key verticals like government, financial services, and retail, and solid performance in our European business. Encouraging signs; however, we remain cautious. For example, Europe is still a work in progress, with new leaders across most of the region. So we will continue to monitor our business closely. In many of the key metrics we track, we saw solid improvements in Q1 as well. Sales attrition was down. Discounting was down, for the fifth quarter in a row. Sales productivity was up. Sales headcount was up, and the overall percentage of reps hitting plan improved significantly. These are positive signs, which provided for a great start to the year. From a strategy perspective, we continue to focus on increasing sales headcount, and improving sales productivity. We continue to expand the sales organization geographically, and move our sales team closer to our clients. We are now adding additional headcount in cities and regions, where we might have added our first salesperson last year, and we are proactively building stronger territories, targeting our best opportunities. We also continue to build out our training programs for our new and existing salespeople and our sales leaders. We saw solid improvement in our productivity of reps, that have only been with us for less than one year. This is a testament to our training, our territory and recruiting teams and the sales management team. We are also training and certifying the entire sales organization on the empowered customer opportunity that George referenced earlier. And finally, we are improving our product fluency, through better product training. While the discipline that we have injected into the sales organization is showing many positive signs, we are not out of the woods yet. We are encouraged by some of the improvements into key metrics, but we have a long list of areas that we need to improve to capture the full market opportunity. As I mentioned, Europe continues to be a work in progress. We continue to focus on improving our client engagement activities, which will lead to better retention rates, and we are training our team to capture the empowered customer market opportunity. And finally, we are very closely managing our sales expansion plans and our sales productivity. We are making good progress, but we fully expect that there will be challenges along the way. For the balance of 2014, we will continue to focus on two key drivers; thoughtful geographic sales expansion and a relentless focus on sales force productivity. These two drivers will allow us to deliver consistent double digit growth for many years to come. With that, I will turn it over to Mike Doyle, for the financial update.
Michael Doyle: Thanks Mike. I will now begin my review of Forrester's financial performance for the first quarter of 2014. Including the look at our financial results, the balance sheet at March 31, our first quarter metrics, and the outlook for the second quarter and full year 2014. Please note that the income statement numbers I am reporting are pro forma, and exclude the following items; amortization of intangibles, stock based compensation expense, reorganization costs and net gains and losses from investments. Also, for 2014, we are utilizing an effective tax rate of 38% for pro forma purposes. In the first quarter, Forrester was at [ph] the upper end of the revenue guidance, but atypically, fell short of pro forma operating margin and EPS guidance. We experienced strong top line performance in bookings and revenue, while expenses were higher than targeted, driven in part by unplanned one time expense items, and timing related issues, as some expenses were more front-end loaded and planned. I will address this in more detail, later in my commentary. However, we do not anticipate these items impacting our full year outlook, and our pro form guidance or 2014 remains unchanged. Regarding Forrester's top line performance, bookings continue to improve in the first quarter. Seven of eight sales regions grew bookings compared to the first quarter of 2013, with five regions, including Europe, posting double digit growth. Revenue was also positive across most product categories, with syndicated data being the only exception. We continue to remain active on the share repurchase front, with approximately $30 million of our shares repurchased in the first quarter. In addition, our Board has authorized $25 million increase to the repurchase authorization, bringing our total available authorization to app $45 million. Now, let me turn to a more detailed review of our first quarter results. Forrester's first quarter revenue increased by 2% to $73.1 million from $71.4 million in the first quarter of 2014. First quarter Research Services revenue increased 1% to $50.8 million from $50.3 million last year, and represented 70% of total revenue for the quarter. Excluding declines in data revenue related to the sun setting of the Tech Marketing Navigator product, Research Services revenue grew by 2% compared to the first quarter of 2013. First quarter advisory services and other revenue increased 6% to $22.3 million from $21.1 million in the first quarter of 2013, and represented 30% of total revenue for the quarter. The expansion of our project consulting organization was the primary driver behind a 3% increase in advisory and consulting revenue, while non-syndicated data and events revenue also experienced healthy growth. Our international revenue mix was 26% for the period ending March 31, 2014, which is down from 27% in 2013. Compared to the first quarter of 2013, U.S. revenue increased by 3%, while revenue from European operations was flat. Product discussion, I'd now like to take you through the activity behind our revenue starting with research. During the first quarter, Forrester launched two new playbooks and retired three, for a net decline of one, to give us 63 playbooks. In the first quarter, 334 new research documents were added to Role View, and we hosted 43 webinars, with a total attendance of 1,567. At the end of the quarter, the top three research roles, were applications, development and delivery, with 6,504 members. CIO, with 5,475 members. Enterprise architecture, with 4,533 members. Forrester leadership boards are peer offerings for senior executives, and achieved a revenue increase of 2% year-over-year in the first quarter, driven by growth in M&S. As of March 31, 2014, Forrester leadership board has had a total of 1,795 members, down 4% from March 31, 2013. Declines in our VT membership were partially offset by growth in M&S membership. Our data business continues to be a critical part of our value proposition. We are serving over 400,000 consumers in 21 countries, representing 80% of global GDP, and over 60,000 businesses in 10 countries, representing 66% of global IT spending. This data provides our B2C and B2B clients with actionable insights on issues ranging from enhancing social media strategy, to developing and deepening brand equity, to aligning sales and marketing with customer demand. It also gives our analysts the most accurate and timely facts they need, to drive their research forward. On a year-over-year basis, revenue decreased by 12% for the first quarter, as the phasing out of our Tech Marketing Navigator product still has some lingering effects in 2014. In our Advisory and Consulting business, total revenue for the first quarter increased by 3% versus prior year, driven mainly by the expansion of our project consulting organization. In our Events business, Forrester hosted two forms in the first quarter. The forms were Sales Enablement professionals in Arizona, and the Marketing and Strategy Summit in Shanghai. Attendance was strong at both events, with core attendance growth of 10% and 36% respectively. Sponsorship is also seeing growth with a 23% increase in revenue over the first quarter of 2013. I will now highlight the expense and income portions of the income statement. Operating expenses for the first quarter were $69.7 million, up 9% from $64.1 million the prior year. Cost of services and fulfillment increased by 9%, due mainly to the headcount added to our project consulting group over the last 12 months. Selling and marketing expenses increased by 10%, due to the expansion of our sales force, as well as higher commissions expense, due to a higher proportion of our sales team, achieving their quarterly goals, compared to the first quarter of 2013. General and administrative costs were essentially flat year-over-year, while depreciation expense increased by 18%, driven by a prior year adjustment. Overall headcount increased by 7% as of March 31, 2014, compared to the same period last year. At the end of the first quarter, we had a total staff of 1,304, including a research and consulting staff of 492, and a sales staff of 491. Research and consulting headcount was up 12% versus prior year, and up 4% as compared to December 31, 2013. Total sales headcount increased by 7% versus prior year, and 1% as compared to December 31, 2013. Sales rep headcount increased by 12% compared to the first quarter of 2013, while fully ramped sales rep headcount grew by 11% over the same period. Sales attrition continues to improve, particularly with sales reps, supplementing our strong recruiting efforts in growing our sales team. Operating income was $3.4 million or 4.6% of revenue, compared with $7.3 million or 10.2% of revenue in the first quarter of 2013. Other income for the quarter was a negative 64,000, down from a positive 376,000 in the first quarter of 2013. Net income for the first quarter was $2 million and earnings per share was $0.10 on diluted weighted average shares outstanding of 20.2 million, compared with net income of 4.7 million and earnings per share up $0.21 on 22.7 million diluted weighted average shares outstanding in the first quarter of last year. To close out the review of operating expenses and income, let me summarize a few items that were not anticipated when we gave guidance for the first quarter. We had two onetime items that impacted expenses by app $600,000. A depreciation adjustment that corrected a prior year error, and exit costs, terminating the partner relationship in Europe. In addition, candidate acquisition costs, primarily in consulting, and travel and entertainment costs totaled app $800,000, and were more front end loaded than expected. The combination of one time and timing related expenses, impacted earnings by approximately $0.05 per share. We do not expect these items to impact our full year guidance, which remains unchanged. I will now review Forrester's first quarter metrics to provide more perspective on operating results for the quarter. The agreement value; this represents the total value of all contracts for research and advisory services in place, without regard to the amount of revenue that has already been recognized. As of March 31, 2014, agreement value was $223.3 million, an increase of 2% from the first quarter of 2013. As of March 31, 2014, our total for client companies was 2,461, down 10 from the fourth quarter, but up 19, compared to the first quarter of 2013. Client count, unlike our retention and enrichment metrics, is a point in time metric at the end of each quarter. Forrester's retention rate for client companies was 74% as of March 31, 2014, an increase of one point from our December 31, 2013, and our dollar retention rate during the same period was 87%, also up one point from the prior quarter. Our enrichment rate was 97% for the period ending March 31, 2014, unchanged from year end of December 31, 2013. We calculate client and dollar retention rates and enrichment rates on a rolling 12 month basis, due to the fluctuations, which can occur between quarters, with deals that close early or slip into the next quarter. The rolling 12 month methodology captures the appropriate trend information. As of March 31, 2014, there were 2.3 roles per client, down 2% compared to the previous quarter. Now, I'd like to review the balance sheet; our total cash and marketable securities at March 31 was $157.2 million, up from $155.1 million at year end 2013, which reflects strong cash from operations during the quarter, which are primarily used for share repurchases during the quarter. Cash from operations was $33.1 million for the quarter, as compared to $35.5 million in the first quarter of last year. The decline is primarily due to lower earnings year-over-year. We received $1.6 million in cash from options exercised for the first quarter of 2014. We also paid a dividend in the first quarter, which amounted to $3.1 million or $0.16 per share. Accounts receivable at March 31, 2014 was $49.1 million compared to $49.2 million as of March 31, 2013. Our days sales outstanding at March 31, 2014 were 61 days, which is down slightly from 62 days at March 31, 2013; and accounts receivable over 90 days was 4% at March 31, 2014, compared to 5% at March 31, 2013. Our capital spending for the first quarter was $700,000 compared with $900,000 during the first quarter of 2013. Deferred revenue at March 31, 2014 was $159.8 million, up 5% over March 31, 2013. Deferred revenue plus future AR, a key indicator of future performance was up 3% compared to the prior year. Our future AR balances are amounted to be invoiced in the future for clients with multiyear deals or scheduled payment terms. I want to close my discussion with some comments on capital structure and pro forma guidance. First, capital structure; we believe we are moving in the right direction strategically, and a number of operational pieces are coming together nicely, including a steadily improving sales team, a rapidly growing and productive consulting organization, a focused and unified research team, and a professional product group. As such, we spent record levels of cash last year buying back our stock, and we are aggressive with our repurchases in the first quarter of 2014, buying back app 30 million of our shares. We remain bullish in our outlook for the company, and the Board of Directors has authorized an additional $25 million for share repurchases, bringing our total authorization to app $45 million. If we are able to repurchase shares with the available authorization, we will be close to our targeted level of $100 million in cash on the balance sheet by the end of 2014. In closing, we are building a strong consulting and selling organization, and as a result, continue to see positive momentum in our top line performance. Our bookings growth was broad based across sales groups, agreement value and deferred revenue were up year-over-year. Our sales and consulting hiring is on target, and attrition is running below 2013 levels. Both Mike and George commented on successes we have experienced to-date, and George reinforced why we believe our strategy is setting the company up for continued success. We look forward to a successful 2014. Now, I'd like to review our guidance for the second quarter and full year 2014. As a reminder, our guidance excludes the following. Amortization of intangible assets which we expect to be approximately $500,000 for the second quarter and approximately $2.2 million for the full year 2014. Stock-based compensation expense of $1.4 million to $1.6 million for the second quarter and $7.5 million to $8 million for the full year 2014. Reorganization costs of between $800,000 to $1.1 million for the second quarter, and $1.6 million to $1.9 million for the full year 2014, and any investment gains and losses. For the second quarter of 2014, we're aiming to achieve total revenues of approximately $82.5 to $85.5 million. Pro forma operating margin, between 11% and 13%. Pro forma income tax rate of 38% and pro forma diluted earnings per share of approximately $0.29 to $0.33. For the full year, as I mentioned previously, our guidance remains unchanged and we’re targeting total revenues of approximately $304 million to $312 million. Pro forma operating margin of 9.5% to 10.5%. A pro forma income tax rate of 38%, and pro forma diluted earnings per share of between $0.93 and $1. We provided guidance on a GAAP basis for the second quarter and full year 2014 in our press release and 8-K filed today. Thanks very much, and I’m now going to turn the call over to the operator for the Q&A portion of the call.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) First question is from Tim McHugh with William Blair. Please go ahead.
Timothy McHugh - William Blair: Yes, thanks. First I guess just -- one, I guess, you mentioned you had an increasing percentage of people who are on plan with the quotas in terms of the sales force. Generally speaking, where are you at in terms of that percentage? I guess if you don't to give a number, I guess, relative to your history or what you would consider good metrics, where you're at. And then I guess, what's the next I guess at this point to start to drive I guess contract value or agreement value growth, kind of consistent with that 10%, 11%, double digit growth in sales force that you're seeing now?
Michael Morhardt: Sure. Tim, it's Mike. We saw the percentage of reps grow about 43% making planning Q1 of last year to around 49%, and there were some highs and lows in that across the regions. But generally, we saw a six point improvement, which is great. What we are looking to -- its nothing to improve to double digit growth. What we need to do is, again, continue to hire the right people, put them in the right territories close to our clients, which we are aggressively doing, and then just focus relentlessly on improving productivity, and it comes in a lot of different forms, and we sort of address some of those things over the course of the 2013, but we continue to address those. Its focused on client engagement, making sure that we are onboarding our clients, so that our retention rates grow. Its producing better and more research. Its improving the quality of our consulting, which as George and Mike mentioned, we are seeing that, that leads to better retention. Its creating better justifications for our renewals and the research that we do provide. So having reps cultured to our clients, we see more interaction with the reps and the clients, which lead to better retention rates, and I think that's the biggest driver we are looking for in 2014. One other thing that I will mention is, we are looking for specific triggers that lead to better retention, and a couple of those, which include selling both our marketing and strategy product and our VT products. When we cross sell, we see a much higher retention rate for those clients, and so we are focused on that as well. Does that answer your question Tim?
Timothy McHugh - William Blair: Yeah. I guess [indiscernible] follow-up is, what would be a good target for the percentage of people meeting their quota? I recognize it will probably never be 100%, but what does a high performance sales organization look like in your view, in terms of that --?
Michael Morhardt: I'd like to see that number north of 60. We saw that in the manager ranks, and we had some haves and have nots where we saw certain teams really overperformed. But we had balance performance across all the various regions. We'd like to see that number 60%, 65%, 70%.
Michael Doyle: And the encouraging thing, this is Mike, the other Mike; these metrics are continuing to improve since Mike joined. So if you could actually -- Q1 2012, 12% to 13% was probably about a similar jump up of about five to six points, and we are getting five to six points now. So we are getting in the zone and starting to hit that tipping point, and given the important pieces, when you look, that next layer down, that's a healthy percentage. So you have people add plan, and people who are right in the hunt, and that's very different than what you have to exempt. So that just a different level of confidence and approach in the sales organization looks great.
George Colony: And Tim this is George here, I'd say [indiscernible] just a redirect of a price that is a critical factor. If we only rent 20% cross sell, and we try to move that this year to 30% or in that range, and that would drive this number up a lot.
Timothy McHugh - William Blair: Okay. And then I guess, what part of the sales organization team you have planned yet? Is that Europe, is that what you're commenting on?
Michael Morhardt: No the team -- of the eight teams, the one team that didn't make it was the North American new business team. The North American new business team had a phenomenal Q4. They were one of the top performing teams in the world in Q4. They had a similar sort of down performance in Q4, as they built their pipelines last year, so we saw that same sort of theme in Q1 of this year. We did make some changes relative to comp and territories that had some impact, but we are pushing hard to get that part of the team to go A-grade, as we kind of move through the year.
Timothy McHugh - William Blair: Okay. And then Mike, last one. When do you move past the tough comp, I guess on the data product end?
Michael Morhardt: I am not sure I understand the question Tim?
Timothy McHugh - William Blair: The tough comparisons for your data sales from the end of the Tech Navigator product, when is that no longer an issue? When are we anniversarying that?
Michael Morhardt: I would say that, we should be out by midyear Tim, and we will be fighting that green battle. It is encouraging signs. A lot of it was in Marketing Navigators forwarding to business foresight. So its actually -- we are starting to see some life on that, and lift on that in a reasonable way. So I think what we are going to see is a crossover by the end of the year, we would hope, and second half should be a really strong story here.
Timothy McHugh - William Blair: Okay. Great. Thank you.
Operator: (Operator Instructions). We have a question from Bill Sutherland. Please go ahead.
William Sutherland - Emerging Growth Equities: Great, thanks. Hey guys. So I was curious, you are right on track with your consultant additions, so that puts you about where at this stage?
Michael Doyle: In terms of consulting headcount, we are about, I want to say we are in the 60s, and we are targeting --
George Colony: Around 50. We are looking at spreadsheets here Bill.
Michael Doyle: I am sorry. I know, we are at 96, what am I saying, that's the total --
William Sutherland - Emerging Growth Equities: Yeah, yeah. That's because we are headed to 100 or something.
Michael Doyle: Well 114 is our target, and we are at 96.
William Sutherland - Emerging Growth Equities: So it looks like its really starting to show up in the advisory line, particularly -- I am curious, in your guidance Mike, can you give us a sense of the relative waiting as far as, that's -- that kind of step up in the growth, at least with the quarter, to the midpoint of that numbers like, I thought you'd guide us about 7%, 8%, and just kind of curious how that growth splits between research and, which I know still has that navigator comp, and consulting?
Michael Doyle: In the near term Bill, when you look at Q2 and probably for the year. In the near term, first of all, I think you're going to see growth faster in advisory, in other words, includes events, because we have a busy event quarter. And again, as more consultants ramp, I think we are targeting to see consulting being the real driver, and frankly research sort of being at a level, because research is really sort of based on last year's booking to some degree. So you're going to see it almost primarily, in the near term, being driven by consulting and events as being the drivers. I think, throughout this year, you're going to see consulting and advisory perform. From our perspective, probably better than what we have targeted and the driver, as the research -- research, as we begin to book more and more business, you will see research come back, I think, more towards the back half of the year.
William Sutherland - Emerging Growth Equities: Right. That's what I was thinking. So this looks like a little bit of a blip in Q2, just a bump up in growth relative to the back half, just with your revenue guidance unchanged for the year. So do you have more events this quarter than last year, is that part of it?
Michael Doyle: I think the events for the quarter -- I think they are consistent right, year-over-year. I don't think this is a bump up. So that's not a driver. I think you're going to see more from a consulting standpoint, and I think we left guidance unchanged for full year, and again, we will reevaluate after Q2, but right now you know, I realize that sort of implies that back half may be a little slower, but -- we are cautious. We will see how that progresses.
William Sutherland - Emerging Growth Equities: Okay. Well it looks like its going in the right direction. And -- yeah go ahead.
Michael Doyle: I think it is. I mean, I think as in -- the book on the expense side, from a top line standpoint, the quarter was very good. We are happy with what's happened. I mean its really, we continue to see momentum build in the business. We are happy with it. Things are moving the way we wanted, and that's good. More work to do to reiterate what Mike and George have said. But all the hard work is moving in the right direction.
William Sutherland - Emerging Growth Equities: Great. Okay. Thanks guys.
George Colony: Thanks Bill.
Operator: (Operator Instructions) I show no further questions. I will turn the call back to Mike Doyle for closing remarks.
Michael Doyle: Okay, great. Thanks everyone for joining the call. We are looking forward to being out and active and on the road in second quarter. So we hope to see all of you at some point in time over the next 60 days. So thanks again.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.